Operator: Good morning, and thank you for holding. Welcome to Rent-A-Center's Third Quarter Earnings Conference Call. As a reminder, this conference is being recorded Thursday, November 7, 2019.  Your speakers today are Mr. Mitch Fadel, Chief Executive Officer of Rent-A-Center; Maureen Short, Chief Financial Officer; and Daniel O'Rourke, Senior Vice President of Finance.  I would now like to turn the conference over to Mr. O'Rourke. Please go ahead, sir.
Daniel O'Rourke: Thank you, Latania. Good morning, everyone, and thank you for joining us. Our earnings release was distributed after market closed yesterday, which outlines our operational and financial results for the third quarter of 2019. All related materials, including a link to the live webcast, are available on our website at investor.rentacenter.com.  As a reminder, some of the statements provided on this call are forward-looking statements which are subject to many factors that could cause actual results to differ materially from our expectations. Rent-A-Center undertakes no obligation to publicly update or revise any forward-looking statements. These factors are described in our earnings release issued yesterday, as well as in the company's SEC filings.  I'd now like to turn the call over to Mitch.
Mitch Fadel: Thank you, Daniel, and good morning, everyone. Thank you for joining us. We will be providing a voice over to the presentation shown on the webcast. If you're unable to view the webcast, the presentation can also be found at investor.rentacenter.com.  Overall, we had a strong quarter with numbers in line with our internal expectations. And I'll provide an overview of this quarterly results and an update on our strategy and then turn the call over to Maureen.  Solid fundamentals and execution resulted in another good quarter with progress on both the top and bottom lines. Third quarter consolidated same-store sales increased 4.5% and adjusted EBITDA was $56.6 million, an increase of $7 million versus last year. Two year consolidated same-store sales increased 10.2%, which speaks to the stabilization of our business. In third quarter adjusted EBITDA was up 14.8% over last year while EBITDA margins expanded more than a 100 basis points. This solid performance is a result of executing our strategy of turning around the business with cost savings and a more compelling value proposition. So looking further to the Core U.S. Driven by the value proposition changes and our e-commerce growth, Core same-store sales increased 3.7% in line with our expectations and our two year same-store sales increased 8.9% which is impressive for any retailer. Overall revenues were down 3.3% year-over-year and largely due to refranchising and store rationalization. In fact, when you exclude the impact of refranchising our revenues were 1.1% higher than last year. Our portfolio on a same-store basis finished the third quarter approximately 3% higher than last year, a good leading indicator for future same-store sales expectations. Online traffic increased approximately 22% year-over-year continuing the trend we've seen all year. Web orders represented about 14% of all lease-to-own agreements originated in the quarter, which will equate to approximately 17% of our revenue. Over 80% of our web distributed agreements are coming from new customers giving confidence in our ability to continue to grow our stores and our e-commerce business. And you can see on this chart on the bottom right of slide number 3 with historic highs for customers per store. As a result of that positive momentum, adjusted EBITDA improved $8 million or 15.2% above the same period last year. Lastly, on the Core business, usually we get asked a lot about tariff -- any tariff impact on our product purchases and I'm pleased to report based on who and where we get our products from, to-date we have seen virtually no impact from tariffs. Nor based on the tariffs that have been announced, do we foresee any future impact from these tariffs. So moving on to our Acceptance Now business which does include the results of Merchants Preferred and then just to highlight that we sometimes also refer to as our retail partner business. Our enhancements to value proposition and the acquisition of Merchants Preferred drove invoice volume of $129 million for the quarter, 19% higher than last year. Same-store sales increased 6.2% for the quarter and two year same-store sales increased an impressive 12.8%. Our skip/stolen losses in Acceptance Now improved sequentially for the third consecutive quarter to 8.9% of revenues, 70 basis points lower than last quarter. So currently the progress of integrating Merchants Preferred has so far exceeded our expectations. As of today we've integrated the sales team, much of the call center, identified and are starting to realize $3 million to $5 million in annualized synergies, although investing in additional sales talent to support invoice volume growth. Revenues for Merchants Preferred are on pace to achieve approximately $80 million annually as previously disclosed. Even with the initial focus on integration, we still managed to open about 200 Merchants Preferred locations since the acquisition, which was closed in mid-August. Top priorities for the virtual business are to position our sales team to capture the white space opportunity and ensure our platform adds superior value relative to industry competitors. We will also continue to refine the technology in order to meet the needs of our retail partners, whether that be integrating into a point-of-sale system, launching a mobile app or the hybrid solution. And the hybrid solution, you heard us talk about it before and when we talk about it, we're talking about there the combination of the staffed and virtual models, which can flex or staffed during peak periods and transition our virtual or unstaffed model during low sales volume period. The hybrid model is unique to Rent-A-Center and something we view as a key differentiator for us in the industry. We also have a goal of lining additional national retail partnerships. With our unique hybrid offering we believe we will be an attractive partner for both large and small retailers. I'm very excited about the virtual and hybrid growth opportunity and I am confident that we will quickly become even more of a leader in the space. With the virtual platform becoming a larger part of our business, we're exploring additional metrics to analyze the business and evaluating the best way to illustrate performance. In future quarters, we're focused more on invoice volume and [disclose] active locations for this business. We will also likely discontinue reporting same-store sales in Acceptance Now -- in the Acceptance Now segment next year as that's not as strong as an indicator performance in a virtual e-com world.  So before moving on to our financial highlights and guidance, I want to spend a few minutes to discuss where we are as a company? How we fit within the industry? And some enhancements to our strategic plan. As most of you know, over the past few years we've been able to turn the business around following a period of underperformance. I'm very pleased with what we've accomplished and where the company is positioned as we are stronger more stable company. We're operationally sound with solid fundamentals and we understand the large customer base served by the dynamic lease-to-own market.  With our 2,400 brick and mortar locations Rent-A-Center has largest physical footprint in the industry. We have competitive advantage by serving banked and unbanked customers in both our Core stores and Acceptance Now businesses.  We also have significant growth potential to our virtual and hybrid initiatives as well as e-commerce. Our advantaged business model generates recurring revenue streams and significant cash flow. We've got a proven track record of optimizing costs and our conservative balance sheet enables us to both invest in growth opportunities and provide shareholders value through dividends and potential share repurchase. And by investing in Merchants Preferred, we are again transforming our company to meet the needs of today's consumer. We're investing in a virtual platform and we will provide a hybrid staffing model for our retail partners, which is a key differentiator for Rent-A-Center relative to the industry competitors. Calling attention on Slide 7 in our presentation, over the past 20 years the lease-to-own industry has grown by approximately 4% on a compounded annual growth rate. There is significant white space in the market for virtual and e-commerce platforms and additional opportunity to expand into multiple new product verticals. In addition, the industry has demonstrated resilience through macroeconomic cycles including recessions and you can see on this slide specifically performance of Rent-A-Center did not alter during the great recession of 2008 and in fact remain quite stable.  With our conservative balance sheet and strong cash flow we're making necessary investments to capitalize on this growth opportunity to become more formidable competitor in the virtual lease-to-own market. As I mentioned earlier, the industry is continuously evolving to keep up with today's consumer. Historically, we served the customer in our brick and mortar stores with on payment -- with onsite payment transactions in a personal-employee customer relationship. As the industry evolved, so did we, Acceptance Now was here almost 15 years ago to fill the need at one of our retail partner locations. This increased our customer base and enabled us to meet a new and underserved market.  Today we’re a multichannel lease-to-own provider serving the customer with our e-commerce platform at rentacenter.com. And we're once again expanding our presence in the virtual market with the acquisition of Merchants Preferred.  Virtual gives us the technology platform to continue serving in over $25 billion market. And with the turnaround behind us, our strategy going forward will focus on growing our retail partner business within the Acceptance Now segment, continuing to strengthen the domestic brick and mortar business through advancements in technology, growing e-commerce and maintaining a flexible capital allocation model that will maximize value for our stockholders. Our primary focus is on the growth of our retail partner business. Acquiring Merchants Preferred accelerated our virtual strategy. And in its first few months of integration process, progress has exceeded our internal timeline. We have ample capital to grow the virtual business. And by providing our retail partners with the option of a staffed, a virtual or a mix model, as I said earlier the hybrid model, we differentiate from the competition because of our ability to serve a broader spectrum of customers, including unbanked customers.  Additionally we’re well positioned to grow national accounts in ecommerce retailers for this platform, and we will aggressively pursue this largely untapped market. Within our stores and e-commerce business we're focused on growing the top-line and improving the customer experience. We are taking measures to further optimize the brick and mortar footprint by testing some smaller technology enabled concept sores and we will continue to implement cost savings. Expanding in new product verticals such as jewelry and tires in our stores is also expected to tap into a new customer base. Additionally we will continue to invest in our e-commerce platform with online and mobile enhancements to improve the customer experience. Over the past year, we've seen substantial growth in online consumers with higher traffic, growing penetration and improved conversion trends.  Online is our fastest growing channel and represents a significant long-term opportunity. Our focus is to serve the lease-to-own customer across multiple channels seamlessly through technology. As you can probably tell, we're extremely excited about the future. In speaking of being excited, Page 10 reiterates what we previously said we believe we can grow our Acceptance Now retail business channel over the next three years.  Again, by 2022, we expect to grow Acceptance Now and Merchants Preferred revenues to over $1.2 billion, an annual growth rate of approximately 15% and an increase of approximately $400 million versus the current pro forma combined businesses. We believe our goals will be achievable given our improved capital position and ability to aggressively sell to our respective pipelines. As we move forward, we’ll leverage the hybrid model, expand into new product verticals, and as I mentioned earlier, put ourselves in a position to partner with more large national retailers, very, very exciting.  And with that, I will now turn the call over to Maureen for highlights on our financial results.
Maureen Short: Thanks, Mitch. Good morning, everyone. I'll cover some financial highlights for the third quarter, provide an overview of our capital allocation framework and close with our guidance for 2019 before opening up the call for questions.  During the third quarter, consolidated total revenues were approximately $649 million, 0.7% higher versus the same period last year, primarily driven by a consolidated same-store sales increase of 4.5%, partially offset by refranchising and rationalization of our store base. Adjusted EBITDA was $56.6 million in the quarter, and EBITDA margin was 8.7%, up 110 basis points over the same period last year.  Non-GAAP diluted EPS was $0.47, up 48.7% over last year. The special items in the third quarter totaled a credit of $5 million which included a GAAP tax benefit related to the reversal of tax reserves for uncertain tax position, partially offset by debt refinancing charges, closure of certain Core U.S. stores and transaction costs associated with the acquisition of Merchants Preferred.  In our Core segment, total revenues in the third quarter decreased 3.3%versus the same period last year, primarily due to refranchising efforts and rationalization of the Core U.S. store base, partially offset by a same-store sales increase of 3.7%. Store labor and other store expenses decreased by $13.3 million over the same period last year, primarily driven by lower store count and cost savings initiative.  Skip/stolen losses in the Core were 4.1% of revenue, which was 60 basis points higher than last year. Adjusted EBITDA in the quarter was approximately $59 million, and EBITDA margin was 13.6%, up 220 basis points versus the prior year.  Now turning to the Acceptance Now segment. Total revenues in the third quarter increased 6.4%, primarily driven by the acquisition of Merchants Preferred, and a same-store increase of 6.2%. Store labor and other store expenses increased by $3.9 million over the same period last year, primarily due to higher skip/stolen losses which were 8.9% of revenue and in line with our expectation. Adjusted EBITDA in the Acceptance Now segment was $22.3 million, and EBITDA margin was 12.1%. Mexico increased revenues by 4.6% in the third quarter, and generated $1.3 million in adjusted EBITDA. In the Franchise segment revenue was $15 million and adjusted EBITDA was $1.1 million. Corporate expenses in the third quarter decreased by approximately $4.2 million versus prior year, primarily due to the realization of cost savings initiative.  Moving on to balance sheet and cash flow highlights, cash generated from operating activities was $228 million for the nine months ended September 30, 2019. We ended the quarter with $74 million in cash on the balance sheet, and $260 million in debt which was down $20 million since closing on the new credit facility during the quarter. Our net debt to adjusted EBITDA continued to improve and ended of the quarter at 0.8 times.  Even with a significant reduction in debt with the refinancing, we have been able to maintain strong liquidity, which was $222 million at the end of the third quarter. These results are illustrated in the liquidity and net debt to adjusted EBITDA metric shown in the graph. In addition, the company recently reached an agreement in principle to sell its corporate headquarters after running a competitive sale process. Due to the restructuring efforts over the past few years, a significant portion of the building was not being utilized, presenting the company with an opportunity to realize material value by selling the building and leasing back a smaller footprint.  Net proceeds after taxes and fees are expected to be approximately $35 million and will be utilized to advance the company’s stated capital allocation priorities of funding growth initiatives in the retail partner business and returning capital to shareholders.  Slide 14 lays out our capital allocation framework. Our first priority is to continue to invest in the business with a focus on growing the virtual channel. We are committed to maintaining a conservative balance sheet and we'll take advantage of strategic opportunities as they arise.  Through the refinancing and our improved financial performance, we returned value to our shareholders through the introduction of a quarterly dividend of $0.25 per share with the first declared in the third quarter and paid out in early October. As previously communicated, we continue to maintain the flexibility to buy back shares.  Regarding our guidance, the company is reiterating and narrowing our annual earnings guidance and increasing our revenue guidance for 2019. I’d also note, our guidance does not include the proceeds on the sale of the corporate headquarters.  As always, detailed income statements by segment are posted on our company website and the 10-Q for the third quarter will be filed by tomorrow.  Thank you for your time today. Now, I'll turn the call over for your questions.
Operator: [Operator instructions]. Your first question comes from the line of Budd Bugatch with Raymond James. 
Budd Bugatch: Good morning, Mitch, good morning, Maureen, good morning, Daniel. Congratulations on a solid quarter. I have a few questions if I could. Just let's just start at the Core with the skips and stolen, which were a little elevated from what I expected. I know that usually get higher skips and stolen in the second half of the year but the 4.1% I think was higher than I thought about it. Is there anything going on there that consumers or I mean investors should know?
Mitch Fadel: Good morning, Budd, this is Mitch. I don't think there is. At a range we want to be in the 3s, 3% to 4%, I mean years and years ago if you see recession resistant slide, it was in the 2s, but for the last -- for this decade at least 3% to 4% has been our range. And so 4.1% is slightly above that. I can't say we're pleased with being at 4.1% because it’s outside that 3% to 4% range. But no, there's nothing there. We can execute better. It’s really what we're focused on with the operations team. It’s just slightly outside of our range at 4.1%. But no, there's really nothing going on there, other than we can execute a little better, certainly outlying markets, things like that, that are kind of normal running a business.  So we just need to execute better, but there's nothing going on with the consumer there to highlight. 
Budd Bugatch: Okay. And getting into the detail in Acceptance Now, I noticed that the cost of rental and fees had increased about 300 basis points over the second quarter and 600 basis points year-to-date, so like 41.7%, and the pricing multiple has actually come down to 2.4. Can you give us an understanding of what's going to -- and what that looks forward to going forward and is there something going on in that area?
Mitch Fadel: I think it’s the changes to the value proposition we made last year being fully in place. The marketplace, it was necessary from a value proposition standpoint. The way we look at it, Budd, where we -- when I came back last year, we cut a lot of overhead out of the business is, we took a lot of overhead out so we can improve the value proposition on both ends of the business, of course there’s charges in between the companies and when the inventory comes back and all that stuff. So there's a step up stuck in between the Core and Acceptance Now. But we focus more on the overall EBITDA margin and when we cut our overhead people not serving the customers and some product cuts we did need to do, the cuts we made over the last 18 months, improve the value proposition, drive more customers, have the same-store sales we’re having and so overall have an EBITDA growth. That's really what we're focused on versus one line or the other. And when we can add 110 basis points to the EBITDA margin overall, we feel good about that. It doesn't mean we're not trying to get the losses a little lower in each segment things like that, or can we tweak the value proposition and get another 10 basis points or 20 basis points here and there. We're always looking to do that. But again, overall, we took costs out of business so we can improve the value proposition so we can get more customers and it's working. And overall, we're really pleased with 110 basis point improvement on EBITDA. Having said all that, I don't think they get any worse going forward in the virtual business. Merchants Preferred with more virtual business, you end up with a little lower gross margin, but ultimately you get higher EBITDA because there’s no labor in the store.  So we don't get too hung up on one line. Like I said, virtual could even lower gross margin more but it's going to raise EBITDA margins over time -- overall EBITDA margin. So we're really focusing on the bottom-bottom.
Budd Bugatch: I understand that. I just was curious whether that's kind of a forward way for us to kind of model that particular line since we do model it. And I was also curious if you could maybe share what the 90 day penetration in Acceptance Now and the retail partner program is right now? What's the percentage of 90 day?
Mitch Fadel: The people that execute it?
Budd Bugatch: Yes, that execute the 90 day options.
Mitch Fadel: Yes. It's about a third. It's about a third of all of our rentals ends up paying out within each 90 or 100 days depending on the retail partner.
Budd Bugatch: Okay. And last for me on the balance sheet. Is there a goal now to think about the level of debt -- the debt to EBITDA, how to think about the leverage that you're comfortable with? Obviously, the balance sheet has a lot stronger character now than it's had in -- and god only knows when, but I'm just curious sort of how to think about that going forward?
Maureen Short: Budd, this is Maureen. The way we're thinking about the balance sheet is we want to keep the leverage ratio below 1.5 times. And as you can see, we've been below that for the last couple of quarters. So that we think of that 1.5 is somewhat of a max of what we would go to given the existing business, and after post refinancing. 
Budd Bugatch: So we're well below that. So you really don't feel any pressure now to reduce debt anymore. We should not just do that, is that the way you're looking at it?
Maureen Short: No, our priority is to continue to invest in the business. We believe the virtual opportunity will require some investment. And given the return on that investment that we're expecting, that's our number one priority. If we have excess cash from there, then we're potentially paying down debt further just to save on the interest. As you know the interest -- the lower interest from the lower debt balance will be $15 million to $20 million lower going forward. And then we're returning capital to shareholders through our dividend. So those are our capital allocation priorities.
Operator: Your next question comes from the line of Kyle Joseph with Jefferies.
Kyle Joseph: Hey, good morning guys and thanks very much for taking my questions. First, back on the Core, I’m not looking for any 2020 guidance or anything. But just from a longer term perspective, how you view the growth opportunities there given where you are in terms of store optimization and the refranchising and the overall performance of the business, kind of your long-term outlook for that side of the business?
Mitch Fadel: Sure, Kyle. Good morning. We're -- our big growth vehicle certainly is virtual and the Acceptance Now or the retail partner channel. But we are also very excited about the opportunities we have in brick and mortar, the way the e-com piece of that's growing. We used our stores as the final mile, if you will -- the couple of thousand stores as a final mile for e-commerce, it’s grown. As we talked about earlier depending which specific metric you want to look at, it’s grown in the 20% range. We ended the quarter, as I mentioned with portfolio of about 3% year-over-year, which is a great indicator of what same-store sales going forward. But we -- with the way e-com is, we see it in low to mid single-digit growth moving forward for a number of years. We think there's an opportunity to keep it where it is, again in that low to mid-single-digit same-store sales. There maybe a little more refranchising as we talked about before count as you know, we're really using it now very opportunistically. The stores have turned around. So we're -- not just any stores are for sale or things like that, it's more opportunistic. And we're -- as I mentioned, we're going to test a few in 2020, test some smaller footprint stores because e-com is a bigger part of our business, technology is a bigger part of our business, can we -- as leases turn over, can we prove to ourselves in the test so we can run a little less space and improve margins that way. That’s kind of a long-term view but you got to start somewhere. We only have five year leases. So if that works so we can transfer footage, it's a five year plan that can add basis points every year to the model. So the way e-com is going and the way the web orders continue to grow, we're adding some verticals. As I mentioned, like jewelry and tires testing right now, jewelry and tires in our brick and mortar stores as well as in added verticals in the retail partner channel. So that's a long answer.  I guess the short answer is we continue to believe low to mid single-digit same-store sales in the Core business is doable for a number of years.
Kyle Joseph: I appreciate that. That's great color. And just from a longer term perspective also thinking about credit performance at the Core, obviously, you referenced loss rates used to be in the 2%, but that was more than a decade ago. Now they're kind of the 3% or 4%. How does e-commerce impact the overall loss rates at the Core?
Mitch Fadel: We've looked at that a few times when it’s very slight a difference between the e-com customer and the brick and mortar, it is slightly higher. We don't -- it's still a matter of executing better the way we approve the orders and so forth and tweaking the way we approve the orders and so forth. So we're not going to -- I don’t know what the word is, let more e-commerce business raise, and I’m going to say, execute better. It is slightly higher but not enough to say we can expect higher losses going forward. We just need to tweak some of our processes and get them back down under 4%.
Kyle Joseph: Got it. That's very helpful. And then two for Maureen, if you don't mind. Just Maureen looking through the press release, I just want to make sure I didn’t miss anything. But can you talk about -- so we had about a half a quarter of Merchants Preferred contribution in the quarter. So just based on the $80 million of revs, is it fair to say that contributed about $10 million to the Acceptance Now segment in the quarter? 
Maureen Short: Merchants Preferred contributed to the higher revenue within the third quarter for the Acceptance Now channel. We're happy with the performance of Merchants Preferred and that's definitely helping with the revenue growth within Acceptance Now.
Kyle Joseph: Got it. And then I know you guys talked about sort of the evolution of disclosures from that side of the business. But just wanted to be -- it's pretty clear, but none of the Acceptance Now -- or sorry none of the Merchants Preferred locations were reflected in the Acceptance Now store counts in the quarter, right?
Maureen Short: That's correct. Yes, those in the storage counts or same-store sales, Merchants Preferred is not included in those numbers.
Kyle Joseph : Got it.
Maureen Short : And as Mitch mentioned. Sorry, Kyle. As Mitch mentioned, we'll start tracking things like invoice volume growth, active store count, some of those more virtual type of metrics going forward. 
Mitch Fadel: And Kyle let me just add to that. As we -- as I mentioned, we added a couple hundred doors just in a couple of months, we've had them and as you -- it just shows on the slide about 75 of those were Acceptance -- low volume Acceptance Now locations. So those really were -- you will recall, were running parallel as we were negotiating the acquisition. We had put our own virtual process out there, and we just put it in a few stores kind to test. Remember what we talked about, we were testing our own as well, those were out there in stores, not doing any volume yet, because we really hadn't put much meat behind it once we bought Merchants Preferred, we didn't have a team out there trying to sell.  So we converted 75 of those 200 of the Merchants Preferred, we converted over to Merchants Preferred where they had the team out there going back in the stores and keeping the doors active and things like that. So those 75 were pretty much dormant in Acceptance Now because we just rolled them out and they were just kind of sitting there. So that was part -- those 75 were part of that 200 doors. But overall, we're focused on integration. The pipeline is so full that we're still able to get those 200 new locations just in a couple of months as we switch. When you close a deal like that, that's your priority day one, is that we got open doors. Of course, you're always trying to grow, you're putting your plan together to grow and integrate and so forth. And that's just an indication of the opportunities there I believe.
Kyle Joseph: One last one from me. Maureen, apologies if I missed this, but any timing on the sale leaseback of the headquarters and the proceeds you referenced there?
Maureen Short: I'm sorry, what was?
Mitch Fadel: On the sale leaseback timing? 
Maureen Short: The timing, I'm sorry. The timing will be the end of 2019 or early 2020.
Operator: Our next question comes from the line of John Rowan with Janney. 
John Rowan : I just want to go back into capital allocation a little bit. With where the debt stands now and looking at even just the free cash flow generated for the first nine months of this year, I mean you are effectively in shooting distance of largely ridding your balance sheet of debt in next year if you chose to funnel free cash flow to debt repurchase. I just don't understand something. So given kind of that dynamic, where is the tolerance for repurchasing stock. I'm trying to figure out where we start modeling in? You said you have $255 million authorized. I just want to know where that stands in the stack. Next year if you have $290 million of free cash flow, you pay out $60 million of dividends. How much debt do you pay down? How much can you pay down? How much of that debt is a term loan versus revolving? Just walk me through what that looks like next year?
Mitch Fadel: Yes, I'll start John, then let Maureen get into some of that detail about how the debt split up. But our focus is certainly with the capital is to grow the business. And as we -- we bought Merchants Referred to grow it, the virtual business, hybrid business as well as there’s still some staffed growth. And it depends, we need to make sure we have room for especially big partners, big national partners. So it will take up some cash, some investment, right, as you grow the business. So growth is first. We certainly were committed to the dividend. We have already started that and share repurchases are on the board and we're not going to tell you the number we could start buying stock at. But it certainly presents an opportunity depending where the stock is at any particular point in time as far as how much debt we can pay down and so forth, the split is, I don’t know, it’s $260 million but I will let you go through that. 
Maureen Short: Right. So we've got a revolver of $300 million, and we've borrowed $60 million on that revolver. So we have a lot of flexibility there, and then $200 million on the term loan. And we have a lot of liquidity and like Mitch mentioned that the purpose of that or the reason for having that liquidity is it's really to try to grow that business. But in the near-term, if there's opportunities to pay down debt we will take advantage of those opportunities to lower the interest rate. But as Mitch said, there's definitely the opportunity to repurchase shares going forward if we choose to do so. 
John Rowan : Okay, Maureen, what is the blended cost of debt going forward? Obviously, this quarter was the big reduction in the overall debt. I don't want to interpret a rate off of this quarter because it might be off. So what's the ongoing run rate fully baked in cost of your debt with all the commitment fees and everything and rolled out? 
Maureen Short: It's around 6%. 
John Rowan : Okay. And Mitch, you opened the door, so I'm going to walk through it. You talked about large retail partners -- large national retail partners, anything we should know on that front, what does the pipeline look like? 
Mitch Fadel: I think, we’re gearing upward after buying Merchants Preferred as far as putting the sales team together, specific people just for the large retail partners and we're just getting started on that. We think there's a great opportunity. There’s a lot of large retail partners out there and a lot of them that don't have a lease-to-own option yet and we've got a very unique offering with the -- will it be virtual and through the POS, however they want to do it, we've got the resources to do it. However if the retailer wants to do it, we will also staff certain stores, all the stores, depending on the volume. Staff them just on weekends and things like that. So we got the most unique offering in the space and we're optimistic that we're going to be able to find some big large national retailers. 
John Rowan : Okay and just last question. Mitch you talked about the skips and stolens and Acceptance Now and then you made a point about it being better sequentially but obviously it's higher year-over-year. I obviously got the conversation on the in-store number. But is that the right way to look at it? I mean should we be looking at skips/stolens and Acceptance Now on a sequential basis or a year-over-year basis? Because I mean obviously year-over-year the number is still up. Can you remind me again why it may have shifted up to just a higher number at some point over the past year? 
Mitch Fadel: Yes. I think normally year-over-year I mean, we look at both anyhow, but year-over-year it’s certainly a real important metric. We only are pointing out the sequential side of it because last year was the outlier. It was just really low due to the recoveries we had coming off the Conn's and HHGregg exit. It was just lower than we would normally run. It was on the low side of our 8 to 10 range. In fact I think it was a quarter or two and there were under 8. So just because last year was low coming off recoveries that we -- because we had booked a big reserve on closing Conn's and HHGregg and then we had some recoveries. So last year was low. That's why we're talking about sequentially. But certainly we don't hide the fact that 60 points higher than last year, just last year was the outlier. That's why we point out the sequential side of it. 
Operator: Your next question comes from the line of Bradley Thomas with KeyBanc Capital Markets.
Unidentified Analyst : Hey, good morning. This is Andrew on for Brad. We were encouraged by the 3.7% comp in the Core segment. I was wondering if you could talk about the components of this and how ticket traffic and collections are trending?
Mitch Fadel: Good question. Good morning, Andrew. We don't get too specific on that but it’s traffic, it's e-ecommerce traffic primarily, but it’s traffic growing. And it's not -- it’s -- ticket is stable, but it's not like it's all in pricing where we're just getting a lot more on pricing. Certainly the depletion of electronics makes it harder to get a lot out of tickets. You get a little more out of furniture. AND so overall, it's traffic, to answer your questions. From a collections standpoint, actually, probably could have been slightly better. But we were within a range where we want to be from a collections standpoint. So it's pretty much all traffic on the positive side.
Unidentified Analyst : Great. Understood. And then for the upcoming fourth quarter, could you talk a little bit about how you're thinking about promotions. If you could remind us, what you're up against last year. And how you might go to the market differently this holiday season?
Mitch Fadel: We obviously for competitive reasons don’t want to get too detailed. But generally speaking, similar to last year and nothing -- no need to worry about seven, eight deep promotions that are really going to drive the revenue down. And I think we don't -- again, there's promotions and of course you have Black Friday week and things like that as a retailer. But generally, our promotions are different than last year. But from a -- what you would worry about and how much we're collecting, how much we're giving away and things like that, that’s pretty much on top of last year.
Unidentified Analyst : Okay, understood. Then my last question is on Merchants Preferred. I was wondering as you talk about the next steps, what are the areas that have been integrated and what areas do you have more work to do?
Mitch Fadel: Good question, Andrew. The sales teams have been integrated but we have more work to do to add to them, which we're in the process of doing, getting a lot of good people hired out there to add to the sales team of the Merchants Preferred, Joe Corona running Merchants, who is doing a good job adding the sales team after we integrated. The call center is about --we have a smaller call center here that's about half integrated with a one at Merchants Preferred. A few more back office synergies will happen into next year. But it's really the call center and back office, it’s big integration as far as synergies. But on the sales team, basically more people are hired to hit those growth numbers. We're up and running obviously as we've already talked about, but we have more sales people hired -- or more -- a person or two just focus on large accounts and things like that.  So when I said earlier, it exceeded our timeline, just that we didn't think we get the sales team in the call centers integrated quite as fast as we have. And it's gone well. The operations team at Merchants Preferred, Mike Dinehart runs that call center down there, and they've done a great job with the integration. So we seem to hire -- we are in a process of adding more to the team.
Operator: Your next question comes from the line of Vincent Caintic with Stephens.
Vincent Caintic: Hey, thanks. Good morning. Another question on Merchants Preferred. So glad to hear that the rollout is going well. And I'm kind of curious. So in terms of the development of the -- I guess, the combined product offering, how that's going? And in any of the rollouts you’ve had of that offering to the existing Acceptance Now retailers, sort of how has that gone, is there any way to measure say the lift that you've had by having the combined offering?
Mitch Fadel: I would say the combined offering lift comes next year, as we roll it out to some of our current partners and a lot of new partners. So the combined offering really is something that kicks off early next year, pretty much in January Vincent. And the 200 doors that have opened so far already since we bought Merchants Preferred have been solely virtual. There's a few staff, fully staffed models opening because of volume of those stores, but the mix, the hybrid, the differentiator if you will really starts in January.
Vincent Caintic: Okay, guys, that's helpful. And then -- so you've highlighted what you've integrated so far for sales, call center and so forth. At what point do you think you'll have all of that ready, and I guess the fundamental part of the question and a lot of investors have been asking is, at what point -- particularly because it seems like retailer appetite is strong, at what point are you ready to be able to operationally have a national retailer trial going on?
Mitch Fadel: We will be ready in the next 60 days. We'll be ready for a national retail trial by 1st of the year.
Vincent Caintic: Okay, great. A separate question but kind of related to the prior fourth quarter question. I'm just wondering sort of getting into holiday sales season, is there anything different for this year? In particular just trying to get a sense of how you're seeing the consumer, if it’s a consumer as strong as they were last year, if there's any nuances on what they're particularly looking for as we go into the holiday sale season?
Mitch Fadel: Good question. We're seeing that’s just as strong. I'm sure we'll hear about the comps being a little lower than last year, but that's really a measure of what we're comping over last year versus what we're comping over this year. That's why we talk about the two year number in both the Core and the retail partner channel, the Acceptance Now segment, if you will. And when you look at the three year, where you look at a Core or the A Now segment, it just continues to perform. So the customers, they're strong. Nuances, as far as what they're looking for, no, we haven't -- we have -- more are putting their ordering online every day versus coming into the store. I think it's just the way people shop and we’re there for wherever they want to shop. They don't have to come into a store to do business with us. They can do it all from the comfort of their home. And like I said earlier, we use our couple of thousand brick and mortar locations as a final mile on the Core side. But they don't have to come in and more and more people are doing that. Let’s take care of them in their home versus coming in the store. But other than that, there's really no trend to speak of.
Operator: Your next question comes from the line of Anthony Chukumba with Loop Capital Markets.
Anthony Chukumba: Just in terms of the 125 I guess doors that's you've rolled out in Merchants Preferred excluding the 75 that were conversions from Acceptance Now doors, can you give us any color just in terms of those doors, like any particular vertical or verticals or that look sort of one chain or a few chains. I was just wondering if we can get any color on that? Thanks. 
Mitch Fadel: Good question. It is primarily still in the furniture business as we think about newer verticals like jewelry and tires and we're looking at those in both the Core business and the virtual business as well, some others that we aren't testing yet. It's pretty much been furniture so far. No big retailers in there, just a lot of local regional players building up. The Merchant Preferred had a bit of a pipeline to begin with and -- without the capital to really take advantage of it. So a lot of that is just go sign the people up and then the capital to sign up before. So pretty much still on the furniture space for now Anthony to answer your question.
Anthony Chukumba: Got it thanks. And just one follow up question. Could you just remind us how does Merchants Preferred currently handle I guess returned merchandise? And then -- and do you see that changing at all going forward? 
Mitch Fadel: Yes, I think we have a few different ways on returned merchandise to get rid of it through online methods of getting rid of it, some -- primarily that, selling it online and things like that. We're -- certainly on that brick and mortar footprint we will be able to improve on that and be able to not only help the collection side of things, but help maximize the value of some of those returns through our brick and mortar stores like we do on the Acceptance Now side.
Operator: Your final question comes from the line of John Baugh with Stifel.
John Baugh: You, to an earlier question Maureen, didn't seem to want to go into the Merchants Preferred P&L impact on Q3 in terms of either revenue or maybe the expense side and EBIT impact. But should we then look at Q2 and then compare it to Q3 and sort of make interpolations that way or is any kind of help there? 
Maureen Short: Yes John. We're trying not to differentiate now between the segments or with Merchants Preferred and Acceptance Now. We see it as one segment going forward. We talked about the annual revenue expectation for Merchants Preferred being in that $80 million range. So that hasn't changed based on what we’re seeing. The door count, I think growth reflects around, a little bit higher than we expected. So hopefully that provides enough color to be able to model the Merchants Preferred impact.
John Baugh: Okay. And then Mitch, I may be mistaken or my memory may be off. But I thought last time we talked about Merchants Preferred in the sort of opportunity, which I think you identified as $400 million pro forma. That it would be more local, regional. There's a lot of talk on this call about the national account. So maybe as it starts there, has something changed or with the expectations that you’re going to win a lot of that 400 million at least in the initial years is going to be the smaller regional local guys? 
Mitch Fadel: I think you remember it right, John, The $400 million to $800 million of revenue going up to $1.2 billion over the next three years is not dependant on a large national retailer. Now that would be actually additive to that. We think we can do that with regional players, obviously some larger regional players and a lot of regional players in general, obviously, for that kind of growth, but there's not a national player there. It's just another avenue of growth. But that growth we've laid out for the next few years is not dependent. So if we don't get one of the big guys, we're not going to hit those numbers. So I think your memory is accurate and that large retail partner opportunity is just in addition to what we've already talked about.
John Baugh: And then you commented on the 90 day being around a third. Is that trending up in what's been a pretty good economy here? Do you see that number in general moving higher?
Mitch Fadel: No, it's been it's been pretty flat. It's been pretty flat.
John Baugh: Okay. And the terms of pricing, are we still in 2.1 times range on the sort of the A Now side of the world? Is -- are any terms with discounts or pricing, the approval rates, et cetera, that you’re promising retailers, any of that moving in one direction or the other?
Mitch Fadel: No, not really. It's still in the low 2s, the 2.1 range, like you said. It’s more competitive out there and you do end up having impacting margins through the deal you make with the retail partner and so forth. But I wouldn't say it's trending any differently than it has in the last year or two. It's been competitive out there. And that has some impact on margins and how you pay the retailer and so forth. But no, nothing in the last quarter or anything like that that's changing. 
Operator: There are no further questions. Mr. Fadel, you may proceed with any closing remarks.
Mitch Fadel: Thank you very much. And thank you, everyone for your time this morning. On behalf of all of us, the whole leadership team and everybody here at Rent-A-Center, I want to thank all of you, all of our co-workers, our retail partners and our franchisees, we thank all of you and we look forward executing our growth plan and building on our solid foundation. Thanks again, everyone.
Operator: This concludes today’s conference call. You may now disconnect.